Operator: Ladies and gentlemen, thank you for standing by, and welcome to the MFA Financial Q1 2024 Earnings Call. [Operator Instructions] And as a reminder, this conference call is being recorded. 
 I would now like to turn the conference call over to your host, Mr. Hal Schwartz. Please go ahead. 
Harold Schwartz: Thank you, operator, and good morning, everyone. The information discussed on this conference call today may contain or refer to forward-looking statements regarding MFA Financial, Inc., which reflect management's beliefs, expectations and assumptions as to MFA's future performance and operations. When used, statements that are not historical in nature, including those containing words such as will, believe, expect, anticipate, estimate, should, could, would or similar expressions are intended to identify forward-looking statements. All forward-looking statements speak only as of the date on which they are made. 
 These types of statements are subject to various known and unknown risks, uncertainties, assumptions and other factors, including those described in MFA's annual report on Form 10-K for the year ended December 31, 2023, and other reports that it may file from time to time with the Securities and Exchange Commission. 
 These risks, uncertainties and other factors could cause MFA's actual results to differ materially from those projected, expressed or implied in any forward-looking statements it makes. For additional information regarding MFA's use of forward-looking statements, please see the relevant disclosure in the press release announcing MFA's first quarter 2024 financial results. Thank you for your time. 
 I would now like to turn the call over to MFA's CEO and President, Craig Knutson. 
Craig Knutson: Thank you, Hal. Good morning, everyone, and thank you for joining us for MFA Financial's fourth quarter -- first quarter 2024 Earnings Call. With me today are Mike Roper, our CFO; Gudmundur Kristjansson; and Bryan Wulfsohn, our Co-Chief Investment Officers and other members of our senior management team. 
 I'll begin with a high-level review of the first quarter market environment and MFA's results and then touch on some of our first quarter results activities and potential opportunities. Then I'll turn the call over to Mike to review our financials in more detail, followed by Bryan and Gudmundur who will review our portfolio, financing and risk management before we open up the call for questions. 
 The first quarter of 2024 began benignly enough until a blowout January payroll report released in early February, which has been followed by somewhat unexpectedly resilient economic data and persistently stubborn inflation numbers, all of which have sent rates modestly higher. 2-year treasuries ended the quarter up 37 basis points and 10-year treasuries ended the quarter up 32 basis points. 
 While a far cry from some of the bond market volatility experienced over the last 2 years, we are nevertheless reminded that the path of interest rates is still very much uncertain and the market has crossed out many of the rate cuts that had been expected at the beginning of the year. Agency mortgage spreads have widened somewhat since the beginning of the year, but they're still considerably tighter about 25 basis points than they were last October. Away from agencies, credit is also tighter versus the October wide that we saw with corporates 20 to 25 basis points tighter and high yield over 100 basis points tighter. 
 Non-QM AAAs are 40 to 45 basis points tighter than the October was and the demand for tranches below AAAs is substantially better than it was late last year. We've seen a positive development in the BPL securitization space in the form of a rated RTL securitization in February. This single A DBRS rating has led to materially tighter levels on the senior tranche and is expected to expand the buyer base for the securities sold to finance these assets. 
 Economic data is clearly driving the bond market and continued strong prints push rates higher in April. Friday's employment report reversed some of this trend, but 2 are still 20 basis points and 10 to 30 basis points above the yields that we saw at the end of the first quarter. Future Fed actions continue to be very much data-dependent. And so far, the data has eliminated any sense of urgency for a Fed rate cut. 
 MFA posted a solid first quarter with distributable earnings of $0.35. We added over $650 million of high-yielding assets, the majority of which came from Lima One, where the average coupon of these originations was 10.4%. Higher interest rates did modestly impact our book value for the first quarter, with GAAP and economic book value down by 1.3% and 1.7%, respectively. We continued to execute securitizations with a $193 million RTL deal in early February and a $365 million non-QM deal subsequent to quarter end in April. 
 On the capital front, we issued a very successful senior unsecured bond in January, raising $115 million with a coupon of 8.875%. We followed this deal with another issuance of $75 million of a similarly structured bond in April with a coupon of 9% despite the fact that 5-year treasuries were 65 basis points higher than when we issued our 8.875% bond in January. 
 These 2 issuances were very timely, enabling us to raise $190 million with a weighted average coupon below 9%, setting us up comfortably to pay off the remaining $169.7 million of our convertible bond that's due in June. Both bonds have 5-year maturities, but we retain valuable optionality as they're callable at par after 2 years, should we find ourselves in a more favorable rate environment in a couple of years. We also have considerable optionality in our liabilities with a total of 30 securitizations outstanding. 
 Page 19 of our earnings deck, lists all of our outstanding securitizations together with relevant details of each deal, including the call date in the last column. Although many of these bonds carry low coupons, the weighted average coupons of outstanding bonds will increase over time as senior bonds pay off. In some cases, it can make sense to call a deal and relever the underlying loans in a new securitization. Even if the cost of debt is marginally higher than in an existing deal, a call and relever could unlock significant additional liquidity, which we can redeploy at attractive ROEs. These call rights provide an often underappreciated option that we have to optimize our liability framework in the years ahead. 
 And I'll now turn the call over to Mike Roper to discuss our financial results. 
Michael Roper: Thanks, Craig. As Craig highlighted in his opening remarks, during the quarter, MFA again delivered strong financial results, generating distributable earnings that covered the quarterly dividend and achieving book value stability in challenging market conditions. At March 31, GAAP book value was $13.80 per common share and economic book value was $14.32 per common share, representing decreases from December 31 of 1.3% and 1.7%, respectively. 
 Given our net duration of approximately 1, our book value was negatively impacted by higher rates across the yield curve, but benefited from credit spreads tightening during the quarter. We declared dividends of $0.35 per common share and delivered a total economic return of 0.7% for the quarter. MFA generated GAAP earnings of $15 million or $0.14 per common share and distributable earnings of $36.1 million or $0.35 per common share. 
 DE decreased by $0.14 versus last quarter and increased by $0.05 from the first quarter of 2023. The decrease versus last quarter was primarily driven by nonrecurring items totaling $0.11 per share that benefited our fourth quarter results. Additionally, mortgage banking income at Lima One declined by $0.03 per share as a result of lower origination volumes in the first quarter. 
 Net interest income for the first quarter was $47.8 million, an increase from $46.5 million in the fourth quarter. As a reminder, our GAAP net interest income does not include the benefit of the positive carry on our interest rate swaps. Net interest income, inclusive of swap carry, was approximately $77 million for the first quarter, unchanged from last quarter and an increase of approximately $15.7 million from the first quarter of 2023. 
 During the quarter, our Board of Directors authorized a $200 million share repurchase program, and we filed a $300 million at-the-market program, enabling us to issue shares from time to time in the open market. We have not utilized either of these programs to date, but believe they offer us the flexibility to act efficiently should market conditions warrant in the future. Finally, subsequent to quarter end, we estimate that our economic book value has declined by approximately 1% as a result of higher market interest rates. 
 I'd now like to turn the call over to Gudmundur who will speak to our portfolio highlights and the performance of Lima One. 
Gudmundur Kristjansson: Thanks, Mike. We continue to see attractive investment opportunities in the first quarter and added about $650 million of loans with an average coupon of approximately 10% in the quarter. Lima One originated BPLs accounted for 70% of our acquisitions while non-QM loans accounted for the remaining 30%. Credit characteristics were strong with an average LTV of 64%, an average FICO score of 744 on loans acquired in the quarter. Portfolio runoff was roughly unchanged quarter-over-quarter at $422 million. The average coupon and paid off loans was about 8.7%. 
 As rates declined sharply in the fourth -- late in the fourth quarter and early in the first quarter, we took advantage of improved pricing on some of our seasoned lower coupon non-QM and SFR loans and sold about $150 million of loans at a $2 million gain compared to year-end marks. All of these activities resulted in our portfolio remaining relatively unchanged at $10 billion, while our portfolio asset yield increased by 12 basis points to 6.58% in the quarter. We see expected returns on equity in the mid-teens area for first quarter additions and continue to see similar returns available in the current environment. 
 The labor market remained strong in the first quarter with nonfund payroll growth accelerating and the unemployment rate remaining close to historical lows at under 4%. Home prices also remained resilient and as rising by about 6% last year, continue to trend higher in the first quarter as low supply of homes continues to outweigh low affordability. These macro trends of housing and labor market resilience provide ongoing support to our credit portfolio. 
 An uptick in inflation and surprisingly strong economic data in the first quarter led to a modest increase in interest rates as market participants reduced their expectations for rate cuts in 2024. Rates have risen further in the second quarter, largely reversing the decline in rates we experienced at the end of 2023, and the market now expects about 1 to 2 rate cuts this year versus 6 at the beginning of the year. 
 Our interest rate risk management approach continues to emphasize protecting the portfolio and our cost of funds from interest rate volatility. To that end, we have maintained a relatively short net duration and prioritized stability of funding costs through securitization issuance and swap hedges that mostly cover our floating rate liabilities. With over $3 billion of swaps and about $4.8 billion of fixed rate securitized debt outstanding, we entered the quarter with a net duration of about 90 basis points, which contributed to the modest book value decline we experienced in the quarter. 
 Turning to Lima One. Our Lima One strategy continued to deliver organically created high-quality and high-yielding credit investments for our portfolio. Since our acquisition in the middle of 2021, Lima One has originated over $6 billion of business purpose loans for our balance sheet and has been a key part in driving up our asset yield over the last couple of years. 
 In the first quarter, Lima One originated about $430 million, in line with our expectations at the end of 2023. Shorter-term transitional loans accounted for 80% of origination and longer-term DSCR and rest of loans made up the remaining 20%. Credit profile remained strong with an average LTV of 65% and average FICO Score of 749 on loans originated in the quarter. We expect origination volume to be roughly unchanged in the second quarter in the mid-$400 million range. 
 The 60-plus day delinquency rate on our BPL loans originated by Lima One increased modestly in the quarter to 4.7% and but remains low and in line with our modeling expectations. The increase was primarily concentrated in the shorter-term transitional loans, while the longer-term rest of the loans decreased modestly. Credit Monitoring and asset management remain important parts of our BPL strategy. 
 The servicing done in-house by Lima One, and MFA's extensive asset management experience, we believe we are uniquely set up to manage delinquencies effectively and efficiently. Finally, we expanded our RTL financing capacity in the quarter as we priced our fourth unrated revolving RTL securitization. We now have over $800 million of RTL securitizations outstanding and have financed over $1.4 billion of loans through these revolving structures. 
 I will now turn the call over to Bryan Wulfsohn, who will discuss MFA's credit performance and securitization activities in more detail. 
Bryan Wulfsohn: Thanks, Gudmundur. Market appetite for securitized bonds continue to show improvement in the first quarter following the trend leading into year-end. Capitalizing on this demand, we issued our fourth unrated revolving securitization in February transitional loans originated by Lima One. We sold $160 million of bonds collateralized by $193 million of loans. The bonds sold carried a coupon of slightly over 7% and a loan securitized carry coupon approaching 11%. 
 In April, we issued another non-QM securitization, selling $330 million of bonds backed by $365 million of loans. The bonds sold have coupon of 6.7% and the loans underlying the transaction had a weighted average coupon of 8.4%. We have now issued securitizations backed by over $9.5 billion in loans since 2020, and the percentage of our loan portfolio financed by securitizations increased to approximately 70%. 
 On Slide 19 of our presentation, you can see that many of our securitizations are currently callable and others will become callable in the coming quarters and years. As Craig previously mentioned, those call features provide the potential to relever our collateral unlocking substantial nondilutive capital that can be redeployed at mid-teens ROE. 
 Our strategy is not dependent on lower rates, but should we find ourselves again in a lower interest rate environment, the call features also provide optionality to reduce our borrowing costs. We believe that mortgage securitization will continue to be a significant piece of our loan financing strategy since it is nonrecourse, non-mark-to-market funding and further insulates the portfolio from volatile markets. 
 Moving to our credit performance. Coming off the past 2 years of record low delinquencies, we have seen a normalization in our loan portfolio. 60-plus day delinquencies in our purchase performing portfolio increased to 4.3% from 3.8% at the end of the year. The increase came from both our RTL and non-QM portfolios. 60-plus day delinquencies in our legacy RPL/NPL portfolio remained stable at 24% and as our in-house asset management team works through delinquent loans, achieving positive outcomes, both through modifications and property-related resolutions. 
 The team has extensive experience working through billions of defaulted loans and continues to work closely with our servicers to improve outcomes on defaulted loans, including generating gains on our legacy RPLs and NPLs and mitigating potential losses on our newly originated loans. We're proud of our asset management capabilities since they give us comfort growing our purchase performing portfolio and provides optionality should distressed loan opportunities arise in the future. 
 Prepayment speeds in our portfolio were relatively stable over the quarter across our loan types. Non-QM, SFR and legacy RPL/NPL maintained CPRs in the mid- to high single digits. The transitional loan portfolio had an annualized repayment rate of 33%. We had another quarter of paydowns totaling over $400 million in addition to the loan sale previously mentioned, which are reinvested into higher-yielding assets. Lastly, we continue to sell our REO properties out of our portfolio. Over the quarter, we sold 73 properties for $24.2 million, resulting in $2 million in gains. 
 And with that, I'll turn the call over to the operator for questions. 
Operator: [Operator Instructions] Our first question comes from Stephen Laws with Raymond James. 
Stephen Laws: I appreciate the comment on the card. Just wanted to follow up, I guess, first on the credit performance. You mentioned normalization here as we've moved off the rate lows. But where do you think that will peak or plateau and talk about the time line of resolution process once something gets to 60 days kind of how do you -- how the time line go as you resolve those loans? 
Craig Knutson: So Steve, it really depends on the loan types, right, because we have some of the legacy reperforming, nonperforming loans, let's say, that's one time line, which has probably been pretty lengthy. In terms of newly originated loans, it really varies by product type. We can maybe split it out into non-QM and BPL, if that would be helpful for you and maybe talk a little bit about the 2 of those. 
Stephen Laws: Yes, that would be great. 
Bryan Wulfsohn: Sure. As it relates to non-QM and really both, a lot depends on the geography and the foreclosure time lines depending on the state, whether it's judicial or nonjudicial. But a lot of times, we see of our non-QM portfolio because of the equity position that the borrower has in the home, right, 9 times out of 10, they're just going to sell the property. So those resolutions can happen relatively quickly inside a year. If you get a prolonged battle, right, that could take 1 to 3 years depending on how long the judicial process takes. 
Gudmundur Kristjansson: Yes. And just, look, I mean, from a macro perspective, as Bryan touched on in the opening remarks, all delinquencies were probably abnormally low coming out of COVID with an incredible amount of stimulus that came from the government and monetary policy. So when you look at our trended down until late '22 and early '23. But for some perspective, I mean the 60 plus on the transitional loan portfolio right now similar to what it was in the middle of '22. 
 And so it feels to us and when we look across the broader consumer sectors and you look at delinquency trends across credit products, that there is a normalization process going on. That seems to -- and it makes sense, given the amount of tightening in terms of monitoring policy. Rates are up 500 basis points, I think, of the nature. 
 And the same thing, as Bryan said, applies to the transitional loan portfolio in terms of resolution. It really depends on state versus judicial versus nonjudicial and the ability to get to the property. But importantly, on the transitional side, there's multiple ways we approach that. It depends on the state of the project. We try to work closely with the borrower. 
 And if it is a viable project, you can make sure that he is in a position to complete it. To the extent we need to pursue for closure, we'll, of course, do that and then rely on our asset management capabilities as well as the underwriting, of course, at origination to make sure we can have acceptable solutions. 
Stephen Laws: Great. And as a follow-up, I just wanted to touch on kind of your thoughts around dividend sustainability, triple earnings right on top of the dividend level. As you look out, you mentioned in your prepared remarks, attractive mid-teen returns on new investments, the ability to kind of call and relever some deals, which frees up additional capital for new investments. On the other side, it looks like you've got some swaps that kind of mature late this year, early next year. In this higher for longer rate outlook, how do you view those 2 things and the benefits versus the higher cost after the swaps mature with the ability to maintain the current dividend level? 
Craig Knutson: So Steve, without obviously forecasting our dividend, I think we've handily covered the dividend for the last year or more. And I think given the portfolio and the net interest income that's solid or increasing, I think we feel really good about our earnings capability going forward. 
Operator: And next, we go to Bose George with KBW. 
Bose George: Just one follow-up on Steve's credit question. What are the typical losses on resolution? And how does that compare with where you're carrying the loans fair value in the loans? 
Craig Knutson: So Bose, I would say -- well, first of all, the fair value when loans are delinquent, they get marked as delinquent loans. And so those -- that gets reflected right away in fair value marks. Second, in terms of losses, again, we have a lot of history, and we can certainly talk about the legacy reperforming and nonperforming loan book. As Bryan and Gudmundur both said, the time lines are fairly long. So we may have some data on some loans and some losses, but I don't really know that it's all that instructive because this is a long process. 
 And it's -- the resolution is that the property gets sold, as Bryan said, because the homeowner has significant equity, that's typically a payoff in full. So the -- I could give you -- we could give you loss numbers, but they really don't reflect what ultimately ends up happening because we just need more time, and I'm not talking about months, I'm talking about years in some cases. 
Gudmundur Kristjansson: I think the other thing to keep in mind, Bose, is that if you think about the products we are acquiring, I mean, for example, the -- on the BPL side, the traditional loans, they have a coupon of anywhere from 10% to 12%. And when we think about risk-adjusted returns for risk-adjusted yields, we're factoring in some assumption about credit cost and credit losses. And so we do assume that yields are lower than the coupon that's coming in. That's how we think about it. 
 But in that context, it's still providing quite attractive risk-adjusted returns. And to Craig's point, I mean, look, over the last 2 to 3 years, home prices were obviously significantly high and rising out of COVID, which obviously helped out in terms of loss mitigation. So we've had some really good outcomes. But we understand and we know that we're dealing with credit underwriting and credit investments. So there's going to be some credit costs associated with it. 
Bose George: Okay. That's helpful. Yes, I was thinking really about the BPL side but yes, that's helpful commentary. And then just one modeling question. Just on the expense line, the comp and benefits was a little higher. Was that, I guess, year-end bonus stuff and then will that kind of normalize a little bit into the second quarter? 
Gudmundur Kristjansson: Thanks for the question, Bose. Yes. So I guess a few things on G&A. First, you're exactly right. that we had a sort of nonrecurring adjustment to our expense accrual in the fourth quarter that decreased that line item by about $3 million. So it makes it a little bit less comparable. Then the second big change there, and there's a couple of smaller ones that sort of offset. 
 But the second big change there is the acceleration of amortization of noncash stock-based comp expense related to awards made to retirement-eligible employees. So that expense would normally be amortized over the course of 3 years, but GAAP requires us to effectively recognize it in the first quarter. And you'll see that there's about $1 million left of that for the second quarter. But going forward, that will go back to 0 for the rest of the year. 
Operator: Next, we'll go to Steve Delaney with Citizens JMP. 
Steven Delaney: In your deck, you comment on mid-teen returns on securitizations. Looking at Lima One, obviously, that was a very significant acquisition and it's proprietary, still have a lot more control there than have a device flow in QMs and the street. So I just wondered if you could comment on specifically on the Lima securitization as far as between bridge and then some SFR, just the product mix and how those, can you tighten this down a little bit from the mid-teens kind of returns on securitizations generally? 
Gudmundur Kristjansson: Steve, it's a great question, and I think your observation is a good one. When we were saying mid-teens, we're kind of characterizing, I guess, could return on average. And we'll understand we'll do sometimes do better and sometimes do worse. But to your point, the securitization that we did in the first quarter on the transitional loan securitization, the average coupon on the loans going into the deal was about 10.9% and the average coupon on the bond we sold was about 7.10%. 
 So you can see that there's a significant amount of spread to the tune of over 350 basis points. And so we sold 80% of that deal and we kept the rest of it, but you can quickly get up to kind of 20% plus returns based upon how much leverage we're doing in the deal and how much we're selling. And as it relates to kind of securitization execution, spreads have continued to come in this year. Spreads on the kind of A1 on the RTL side will probably ask why that's 350 over the curve in October of '23, and now they're probably hovering over 250 over on the unrated side. 
 And then on the rated type of execution, there's the potential to do better. So we think, yes, I mean those returns are quite attractive. As it relates to the longer-term DSCR loans, we are creating assets that yield roughly, call it, around high 7s, 8% yields. And the securitization cost of funds probably right now is anywhere in the kind of mid-6s. And so we're doing probably mid- to high-teen returns there as well. 
Steven Delaney: Right. That's great color. And I think the -- it was worth pointing out that since you own Lima One now, you really can't control your risk return profile there working with the Street. And to that point, obviously, we're getting no rate relief. But can you comment, Gudmundur, just generally on what the pipeline looks like looking out over the next 6 months or so for Lima One? What are they hearing from borrowers? And are they still busy as ever in terms of looking at new opportunities? Just some color on the pipeline. 
Gudmundur Kristjansson: Yes. I think -- so with Lima One, one of the strengths of the brand and the company is -- so the breadth of products that they originate. So on these transitional loans or shorter-term products, Lima originates single-family bridge and transitional loans which involve some amount rehab, single-family new construction and small balance multifamily transition alone. So there's various pockets of marketplaces that we originate in. And so those can have different dynamics in terms of supply and demand. 
 So from our perspective, what we've seen is we've been able to often maintain steady levels of origination when various parts of that are changing. And then the fourth fleet is, of course, the longer-term DSCR rental loans. And so we saw, for example, in '22 and '23, when rates rose more of the origination shifted into the short-term transitional loans as opposed to the longer-term rental loan. 
 So fast forward to today, I think that the initial rate shock, of course, over the last 2 years, has kind of subsided in a way that the market participants have obviously now started to build high rates into their expectations about execution and things of that nature. As it relates specifically to the operators on the ground, so supply of homes is less than it has been historically, and it's one of the factors we've highlighted as being very supportive of home prices. 
 And that's why home prices have risen, even though affordability for new homebuyers is low. Now what that means is that from the fix and flip operators, sometimes they'll have fewer properties to pick from. And so we've seen some of that. So in the traditional, call it, quick flip or easy flip or people are trying to do rehabs and turn them around fast. That activity has slowed down a bit. But the new construction or the heavy real component on it feels like it's relatively unchanged. There's a decent amount of demand there because the housing supply is still very old in the United States, and there's a lot of deficit of housing units relative to household formation, which we think will continue to support the market going forward. 
 And I guess the last piece from a color perspective as well, it feels like there is a little bit more competition in our space. because rates have stabilized and the attractive nature of these returns. So you do see more capital coming into the space, which is both positive and negative. It's positive on the securitization side because it allows us to execute efficiently but also means we have to compete a little bit more for the borrowers on the origination side. 
Steven Delaney: That was great color, Gudmundur. Congrats to the team on hitting the $10 billion portfolio benchmark. 
Operator: Next, we'll go to Doug Harter with UBS. 
Douglas Harter: Hoping we could talk a little bit more about the potential to call your prior securitizations. One, I guess, how are you seeing the -- are you seeing enough investment opportunities that you would need the capital? And when you factor in the higher cost of funds, I guess, how are you thinking about the level of accretion today from freeing up that capital? 
Bryan Wulfsohn: Today -- it's Bryan. If you think of this about the immediate potential, right, we have some unrated deals that were issued a few years ago that has paid down significantly. So if we called one of those deals, it might unlock $70 million to $80 million in liquidity, where the cost might be say, 200 to 250 basis points more for that financing. But the ROEs generated are that mid- to high teens. So it definitely makes sense for us to execute that type of transaction. For some of the other deals, right, it's not an immediate thing. It's more the next 2 to 3 years where we're going to have opportunities to call those. 
Craig Knutson: And Doug, just to add a little more color to Bryan's example. So if you think about a nonperforming loan resecuritization done a few years ago, calling that deal what as Bryan said, will unlock additional liquidity, but a substantial number of the loans in that deal are likely now performing and those could be resecuritized as rated reperforming loan deals, which trade at obviously lower yields than an unrated nonperforming loan deal. So there's a lot of nuance in this, and it's just something that we want to point out is something that we're keenly aware of and there are opportunities that will continue to be opportunities to optimize that liability structure. 
Gudmundur Kristjansson: Yes. Doug, just to put a pin in that. The -- we think of this also as a significant optionality from the liability structure. So to the extent that like the world can change and think can evolve in many different ways. So to the extent that rates are lower, for example, if it is cutting rates and the curve is deeper. Most of these deals are priced on the front end of the curve. So to the extent that the curve is deeper in the future, it just gives us an optionality to recycle capital perhaps at the same cost or better over the next couple of years. And so for equity investors, I think it's important to understand that optionality. And that's really kind of what we're trying to point out for the next couple of years. 
Douglas Harter: Got it. And just, I guess, understanding -- if you don't call the deals, then I guess, are they cash flowing? Or are they still kind of -- are the subordinates cash flowing? Or are they still sort of paying down the seniors? It's just how to think about the alternative, if you decide not to call the deals? 
Craig Knutson: So again, it depends on the deal, Doug. So in some rare cases, there might be a step-up after so many years where the coupon will step up. But in most cases, we're not obliged to call the deal. I think on the RTL side, the revolving period ends, there's more incentive to call the deal because you can't add new loans to the deal. But it's really deal and type of deal specific. 
Operator: Our next question comes from Brian Violino With Wedbush Securities. 
Brian Violino: Great. Just curious if there is any notable extension or modification activity this quarter for the transitional book, like we've seen some other BPL lenders over the last couple of quarters? And if so, under what terms are those made? 
Gudmundur Kristjansson: Yes. Great question. So for our portfolio, the percentage of that was extended as related to UPB at the end of the first quarter is about 12%. And that's ticked up a little bit from about 8% to 9% at the end of last quarter, but really remains relatively modest in the historical context. I think in the normal course of the business, extensions happened, and that's nothing that is unusual about that. It's usually where needs additional time to kind of market and sell a completed project. there could be delays in completely rehab or construction and -- but the project importantly remains feasible and attractive. 
 And then on the small balance multifamily you may need additional time to lease up the property and get it into a stabilized state for longer-term financing. The important part about all this stuff is like we don't extend delinquent loans. So again, you have to be current to qualify for an extension. And then in the normal course of business, we see extended loans pay off. I think last quarter of probably $35 million to $40 million of extended loans pay off that were previously extended. So from our perspective, it's normal course of the business and it comes to the territory. 
Brian Violino: Great. And just one more on the -- you announced the new stock repurchase and ATM program earlier in the quarter. It doesn't sound like either of those were used recently, but just curious on thoughts in terms of under what sort of conditions you would look to lean into either one of those programs? 
Craig Knutson: Sure. So look, our ATM program, I think, expired almost 1.5 years ago. So our recent refresh of the ATM program was simply that. We don't really feel that we're capital constrained, and we've recently demonstrated the ability to raise money through an unsecured bond at much more favorable terms for shareholders than issuing common stock at a substantial discount to book. I'll also point out that we simultaneously refreshed our share repurchase authorization. And I would characterize both actions, Brian, as administrative in nature. 
Operator: At this time, we have no additional questions in queue. 
Craig Knutson: All right. Well, thank you, everyone, for your interest in MFA Financial, and we look forward to speaking with you again in August when we announce second quarter results. 
Operator: Ladies and gentlemen, this conference will be available for replay from 12:40 Eastern Time today and through August 6 at midnight of this year. You may access the replay by dialing 866-207-1041 and entering the access code 9944909. International participants with dial 402-970-0847. Once again, those numbers for replay are 866-207-1041 for domestic, and 402-970-0847 for International and the access code to use is 9944909. 
 That does conclude your conference call for today. We do thank you for your participation, and thank you for using AT&T Event Conferencing. You may now disconnect.